Operator: Good morning, and welcome to the TruBridge First Quarter 2024 Earnings Conference Call. Leading today's call are Chris Fowler, President and Chief Executive Officer; and Vinay Bassi, Chief Financial Officer. This call may include statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cautions you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results may differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risks, uncertainties and other factors, including those described in public releases and reports filed with the Securities and Exchange Commission, including but not limited to, the most recent annual report on Form 10-K. The company also cautions investors that the forward-looking information provided in this call represents their outlook only as of this date, and they undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. At this time, I will turn the call over to Mr. Chris Fowler, President and Chief Executive Officer. Please go ahead, sir.
Chris Fowler: Thanks, Dru, and thank you to everyone for joining us this morning. When we began our transformation 18 months ago, we identified four areas to focus on delivered results, sales execution, financial reporting and insights, operational excellence and increased rigor in our capital investments. To date, we're pleased with the momentum across all four of these areas. I'd like to start today's call by spending particular time diving in a bit deeper on our strong bookings and our progress in our financial operations. Our revenue in the first quarter was $83.2 million, which is right in the middle of our guidance range, and our adjusted EBITDA was $9.5 million, at the top of our guidance range. Vinay will dig a little deeper into our financial results and specifics of our outlook for 2024. Moving on to bookings. We had a strong first quarter, which came in at $23 million and were driven by both wins in RCM and our EHR and serves as testaments to the improvements we've made in our sales efforts. In previous quarters, I described how moving to a pipeline of larger deals created timing complexity in terms of the date they sign the contract to implementation. Well, this quarter and similar to Q4, we are seeing those larger opportunities start to break free and the impact of its time. We had $14.4 million of RCM bookings this quarter, which included a couple of rather large deals. One is for a large ambulatory network with over 20 physician practices. We're onboarding this deal in phases and plan to have all sites live by the end of the third quarter. This is the first large ambulatory arrangement that we have reached, and it demonstrates something I highlighted last quarter regarding our Viewgol acquisition. Viewgol has a strong ambulatory presence and we were able to leverage this to expand into a new segment of customer and market needs. While we didn't expect this to happen this fast after the acquisition, I think it reflects that the revenue cycle is increasingly and is increasing in complexity for both acute and ambulatory providers. Now that we can provide RCM technology and services to the ambulatory market on a much larger scale, we have definitely seen the benefits. This quarter has given me confidence that this theory will continue to bear fruit. In the EHR, we saw bookings of $8.6 million, up from $7.3 million a year ago. In the quarter, we continued to experience the trend of signing more deals under our nTrust solution. As a reminder, nTrust is our seamlessly -- seamless combination of our EHR and RCM offerings. This trend reaffirms that our solution is resonating in the market as many hospitals suffer from vendor fatigue and seek a unified solution like ours. Their desire for simplified tech stacks often leads to hospitals favoring EHR vendors with broader portfolios in exchange for managing fewer vendors. This translates to many providers looking first to their existing vendors, especially their EHR vendors for new functionality, before evaluating new offerings. Again, as we have signed a greater proportion of larger deals in the past two quarters, we have realized that the timing to fully implement these contracts is also a bit longer than we have historically seen. As we looked into the detail of the deals this quarter and last, we have found that the timing of full implementation extended further out than we were expecting. And the lesson learned is that we are now learning not to be quite as aggressive with our bookings-to-conversion revenue assumptions that we've had in the past. What this means is that our revenue guidance from 2024 is coming down slightly from a range I gave last time of $340 million to $350 million to a revised range to $330 million to $340 million. This reduction in revenue guidance in no way reflects the lack of confidence in our execution against the plan. It is literally related to our forecasting approach, which has gotten a lot more detailed since Vinay joined us in January. While I'm on the guidance topic, I would also say that our adjusted EBITDA guidance remains unchanged at $45 million to $50 million, and we remain steadfast in our efforts to continue to find efficiencies within our business and we have identified and acted upon a set of changes that saves additional expense from what we had projected, and Vinay will unpack this in further detail shortly. I have to say that I'm excited and enthusiastic about the partnership that Vinay and I are creating, and I feel the new rigor he and the other new team members in finance have brought into our company will yield great impact on our ability to plan and execute on our business goals. On the RCM operational front, we are continuing to make progress. Our global workforce plan is rolling out as expected. And as of March 31st, 25% of our CBO and EVO is offshore and we continue to see that the third and fourth quarters will see meaningful benefit as an outcome. The integration of Viewgol is proceeding as expected, and I am pleased that our organization is learning a great deal from our new team members. Not completely unexpected, we have seen some modest pickups in service with some customers, but we are working through all of those, as you would expect. Last year, we told you that we had implemented a great amount of change in how we develop software going to the enterprise-wide agile model. I'm encouraged that the progress that we are seeing as a result and our annual client conference last week was a great example of this. At our conference, we welcomed more than 900 attendees representing 150 C-level executives from over 200 facilities and we focused on themes of improved financial health, managing to provide quality care with limited staff and resources and keeping care in their communities. We received very positive feedback from our conference attendees, and I was particularly pleased to hear that many clients feel we're headed in the right direction with our software improvements and of equal importance that they feel we are delivering on what we promised in terms of updates and enhancements. Also at the conference, we launched our TruBridge Analytics solution, which is a step-change improvement in how we are enabling our clients to understand what is happening in their world and how to identify -- and how to identify ways to change. In part, we gained important capabilities from Viewgol, but we have been building these capabilities internally for the last 18 months, and this was our first chance to showcase them. I'm happy to talk more about this in the Q&A section. We also highlighted two new partnerships, which will create revenue and margin opportunities for us over time. First, we announced our new partnership with Microsoft Nuance Dragon, a speech recognition technology. Integrating this technology into our EHR enables our providers to spend more time with their patients versus their keyboards. We know from conversations with many of our customers that this is a huge point of focus, but some things that they continue to struggle with. This partnership highlights our ability to bring new capabilities that will help our clients and also provide us with additional revenue without having to invest as heavily. Secondly, we announced a partnership with the financial management application, Multiview. We decided that an internally developed application that we have was not up to our expectations, and so we found a great partner to offer their solution to our customer base. This illustrates our willingness to bring in partners to drive innovation to parts of our software that we are not focused on continuing to invest. A transformation of this magnitude that we have launched -- excuse me, a transformation of the magnitude that we launched when I became CEO is not easy and especially so in the public view. We have come a long way, and I truly believe that the lessons and the improvements we've made to date has set us up well to tackle the remaining items on our to-do list. TruBridge focuses on a customer segment with a lot of needs and our offers solidly meet those needs for them, and we are well positioned as challenges in revenue cycle continue for these customers. We have stressed in our organization that we are playing under a new set of rules, and I believe that we have what it takes to continue to make meaningful progress and improvements in the coming quarters. I am very bullish about our future. With that, I'm going to turn it over to Vinay to talk more about the improvements his team has made, our first quarter results and our outlook. Vinay?
Vinay Bassi: Thanks, Chris, and thanks everyone, for joining the call today. This is my first quarter as CFO and my team and I have been working diligently to get the financial operations of the organization aligned. We have made meaningful progress on the financial initiatives I laid out last quarter. Specifically, we have taken a fresh look at our capital allocation and rightsizing of cost when we can't find a clear near-term ROI. On a run rate basis, our CapEx is lower, and there is still work to be done in the rightsizing process. We have already shut down a couple of projects and reduced headcount accordingly. As an example, late in the first quarter, we shut down the development of a financial management application. While we felt this type of solution would be helpful to our customers, it was outside of our core competency. So as Chris noted, we found a partner with a track record in health care that has experienced success in this area. We also found $2 million in permanent cost saving opportunities per quarter. We implemented these cost savings in the second quarter and expect to realize $1 million in second quarter. Going forward, we anticipate $5 million in cost savings in 2024 and an annualized run rate of $8 million. These savings are from headcount, further optimization of cloud and reduction in noncritical vendors. The headcount savings are primarily from shutting down projects with low ROI as well as rightsizing the organization. We implemented a process improvement of cash collections and accounts payables that began in the second quarter, added headcount to our cash collection team and implemented a process for daily review of collections and weekly review of payables. We are acutely focused on cash collections and overall working capital management. We have observed some early signs of improvement, but expect to see notable improvements over the next 2 quarters. Finally, as Chris emphasized, we have taken a significant leap forward in improving our accounting and forecasting methodology. We have implemented more accountability for business leaders and we have a significantly better handle on our forecast than I joined on January 1. It is a journey, and the ultimate goal is to establish predictability and metrics that will help us in forecasting our revenues. Now let's turn to the first quarter results. We saw the bookings momentum from the fourth quarter continue in the first quarter, during which we signed $23.6 million of total bookings with strong showings in both RCM and EHR. RCM bookings of $14.4 million increased 19%, driven by net new sales of $9 million in the quarter, which increased 49% year-over-year. Net new RCM sales benefit from a couple of sizable deals, one of which is in the ambulatory space, as Chris noted. On the EHR side, we signed $8.6 million of bookings in the quarter. We believe this was driven by a relentless focus on understanding and meeting the needs of rural and community hospitals and those organizations looking for an integrated EHR and RCM solution, which we have the ability to provide in our nTrust model. Turning to revenue. We reported $83.2 million in total revenue for the first quarter, reflecting a decrease of approximately 3.5% compared to a year ago. This decline is primarily in the EHR segment due to the divestiture of EHD in January 2024, which contributed $4 million in quarter 1 of last year 2023. In addition, the sunsetting of Centriq product also contributed. RCM revenue of $53 million accounted for about 64% of total revenue and increased 9% year-over-year driven by the inclusion of Viewgol's revenue of $4.8 million. Otherwise, they were relatively flat. Our gross margin in the quarter of 49.8% compared to 8.8% a year ago. EHR gross margin of 59.7% increased over 600 basis points primarily as a result of cost savings from the voluntary employment retirement program we implemented mid-'23, while RCM gross margin remained flat at 44.2%. Our reported expenses as a percent of total revenue was 51.6% compared to 41.5% a year ago. The increase came primarily from increased investments in technology and innovation in addition to onetime items related to severance expenses, our recent rebranding and fees related to the AHT divestiture. On a comparable basis, excluding these onetime items, operating expense as a percent of revenue would have been 46.9%. Adjusted EBITDA in the quarter was $9.5 million compared to $14.6 million a year ago. The decrease in adjusted EBITDA is primarily due to loss of EBITDA impact from AHT divestitures, increased investments in product development, technology, cloud, security, innovation, partially offset by Viewgol. Adjusted EBITDA margin in the quarter was 11.4%, in line with guidance. Turning to the balance sheet. We ended the quarter with $4.1 million of cash and a net debt of $180.7 million. Operating cash flow was a loss of $2 million in the quarter compared to a positive $9.5 million last year. The year-over-year decline in operating cash flow was primarily from lower adjusted EBITDA, higher interest expense from funding the Viewgol acquisition, severance and other onetime items. In addition, we made a debt repayment of approximately $13 million in Q1 2024. Now turning to my final topic, our financial guidance. For the second quarter, we expect revenue between $81 million and $83 million and adjusted EBITDA between $8 million and $10 million. On a sequential basis, our revenue guidance reflects the slower implementation times Chris discussed earlier. Adjusted EBITDA in the second quarter is being impacted by the lower revenue and the second quarter is being impacted by the lower revenue and our typical annual user conference expenses of approximately $2 million. For the full year, as Chris explained, we are seeing success in signing large deals that take longer to convert. As a result, they won't contribute as much as we initially anticipated to 2024's revenue, but they do increase our visibility into 2025 revenue. In terms of adjusted EBITDA for the full year 2024, we believe our initial range is still achievable as a result of the incremental $8 million of annualized savings I discussed earlier, of which we can realize at least half this year, as this work is already underway. Given these factors for the full-year 2024, we now expect revenue of $330 million to $340 million, down from $340 million to $350 million, and adjusted EBITDA to remain unchanged from prior guidance at $45 million to $50 million. I'm very proud of all the work my team has done since coming on board and pleased with our progress. We have a lot more to do, and I believe what we have accomplished to date will make our future efforts more efficient. Now I will turn it over to Chris for some final remarks.
Chris Fowler: Thanks, Vinay. I want to express our sincere gratitude to all our employees for their hard work in helping us move forward to our users for their continued trust and to our shareholders for their support and continued interest in our story. Donna, we now open the line for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions]. Today's first question is coming from Sean Dodge of RBC Capital Markets. Please go ahead.
Sean Dodge: Yes, thanks. And congratulations on the strong start to the year. Chris, you mentioned the bookings. So they're off to a good start. As we think about the cadence over the course of the year. Is all these investments you've been making, the experience there starts to gel. You mentioned that a lot of large deals in the sales pipeline that are starting to come through. So when we think about cadence, is the expectation that you'd be able to maintain the same kind of Q1 pace each quarter? Is there going to be some element of seasonality? Or do you think there are opportunities to elevate that?
Chris Fowler: Hey, Sean, good morning first of all and welcome to the call. You sound like you're on our Board asking those questions. Yes. I would say, honestly, we are very optimistic about the pipeline that we've built we continue to see that momentum. As we talked about at the end of last year and on the Q4 call, we're still kind of remaining very cautiously optimistic about this and making sure that we have set ourselves up to be able to execute and be able to understand the ebbs and flows of these deals. As we move into the larger opportunities -- and again, remember, we're still 400 beds and under, but when we get over that 200-bed opportunity, these deals, they just take a little bit longer. They had a huge impact on the bookings amount and therefore, revenue, but they also have an impact on the bookings that we reported on slides a month, it has an impact to the numbers. So on hold and on balance, I would say, yes, we're excited about the momentum that we've built up the rigor of our sales team and just the way that they continue to execute. And again, the discontinued demand that we hear both from the external market and then last week at our customer conference. So we're hoping that we're on it and that we continue to see this execution go. As far as the building of it, as we continue to exceed our expectations quarter-over-quarter, will continue to evaluate how we accelerate the opportunities there.
Sean Dodge: Okay. Great. And then on the guidance, you mentioned the dynamics around the lower revenue, but Vinay mentioned some cost actions you took to kind of keep the EBITDA target unchanged. I guess on the cost actions, can you give us a sense of aside from the offshoring as you kind of explore all of these pockets of opportunities or inefficiencies. Do you think there's still a lot more left to take out? Are you done here? There's still more other places that you're exploring?
Vinay Bassi: Sean, good morning. This is Vinay. It's a great question. I would say three months in I would say where -- how we are -- how I'm designing the cost saving optimization, I call it more the optimization is figuring out areas that we need to get more efficiency. So there are two or three buckets, which are mainly -- one is the ROI focus approach on projects. So we have just started on that. So there might be a little more room there, again. And then I think where we are, the second bucket is more about noncritical vendors. I think that we have cleaned up a good amount by now. Inefficiencies or the rightsizing of the organization in OpEx, I think we have covered 80% plus. But I would say I don't expect another significant like this amount, but there could be a smaller amount as we go through the balanced quarters.
Chris Fowler: Yes. And I would add to that and say, one, Multiview is a great example of the first of the two types of opportunities that Vinay mentioned, where instead of us investing our money and continuing to develop and expand on an ERP that we're leveraging the work of Multiview. And so that creates efficiencies for us. It also delivers satisfaction to our customers. And on an ongoing basis, we're going to continue. We're continuing to build the muscle of making sure that the -- the investments that we're making are paying off. And so we're going to continue to have a high level of scrutiny to that.
Sean Dodge: Thanks and congrats again.
Chris Fowler: Thanks, Sean.
Operator: Thank you. The next question is coming from Jeff Garro of Stephens. Please go ahead.
Jeff Garro: Yes, good morning. Thanks for taking the question. Maybe I'll pick up a little bit on the revenue side of the guidance. And the implied sequential decline in revenue from Q1 to Q2, you talked about delayed implementation timelines. So I think the other side of that is something must be falling off. So we love more color there and some comments on how we should think about the balance of those new implementations and maybe some other business further falling off in the back half of the year?
Chris Fowler: Yes. First of all, good morning Jeff. So yes, you're right. I mean, we've seen -- we've got a little bit off. Obviously, we have attrition modeled in to the year. And the coming out the bottom compared to the elongation in the bookings to revenue conversion. It's just the timing of how that plays out from Q1 to Q2, and then we start to see the pickup coming back in, in the back half of the year.
Jeff Garro: Understood. And maybe dive a little bit deeper on the implementation timeline. I think you've well explained the delta between what you forecasted and how reality is playing out in 2024. But can you maybe help us understand how the reality for 2024 compares with historical time lines and also just some more subs to the why of why time lines are being elongated versus what you had forecasted?
Chris Fowler: Yes. So historically, we've seen the time lines be around that 90-day average, and we're seeing that almost double in some cases over the Q4 and Q1 bookings that we have. And there's a couple of parts to this. One, from an internal standpoint, what we've highlighted is that there's opportunity for us to make sure that if there is flexibility and opportunity to turn that revenue on sooner that we're making sure that we have put a light on that and created accountability inside the organization to make sure that's happening. But the second part is, is that both the larger deals and if we're taking somebody that's coming off of a vendor, whether it's on the RCM or on the EHR side, there are some contractual gates that they have that are going to preclude us from being able to stop. So I look at this as it's really a two-part thing. One, as an opportunity for us to improve our internal processes by making sure that we're getting that revenue turned on as fast as we can. But almost as importantly, it's just kind of unpacking again what that norm is. Now to your point of how we think about this as a trend going forward, it's hard for us to necessarily predict when the deals come in, they're going to be -- if they're going to have that 180-day lag or if it's going to be a quick cleanup opportunity that we've got a customer that wants us to jump right in. So for us, it's as much about the knowing and then being able to relay that to you guys so that we can all kind of follow along with how those bookings relate or translate into the revenue.
Jeff Garro: Appreciate that. One last one for me. I was hoping for some more color on the cash flow results in the quarter and how we should think about the headwinds and tailwinds to converting more EBITDA to free cash flow going forward? And comment that certainly understand the tactical measures that are being taken and improvements that show from that. But we're trying to understand the evolving shift to RCM as a bigger part of the mix and nTrust as a bigger part of the EHR mix as well as the globalization efforts and how those are changing, how we should think of free cash flow conversion? Thanks.
Vinay Bassi: Yes. So that's a great question, Jeff. You're right. I think in the second half, we expect the -- like if you look at our EBITDA guidance, the second half will be more profitable for two reasons, we will start realizing on the RCM side, the more benefits of the offshore. As more people going with more months behind it, we will look at the cumulative impact, and that will help improve the RCM margins better and more EBITDA coming in for. Same is for EHR as they get into the nTrust model and get the benefits and even some of their product development is offshore. So overall improvement in EBITDA is one crucial aspect of reaching that free cash flow, strong free cash flows there. And this path to that EBITDA goes through two parts, improving the gross margin with what I've mentioned and then looking at the OpEx side and making sure it is run like a tight machine, with like I always carry that every dollar on my P&L below gross margin has to fight to remain on my P&L. So I think that helps and that a majority of where we are seeing some cost savings will help me improve the EBITDA momentum. And as you will see, my fourth quarter will be stronger than -- and we'll carry that momentum. So that is one part of getting to free cash flow. The second part is harder, but very doable is working capital management. Working capital management is -- my path goes through collections, putting a maniacal focus on that, and that's what I've said in my prepared remarks, reviewing daily collections. I've boosted by 100% my collectors team and putting more focus on how it needs to be done from a focus perspective. And the second part relating to that is payables. It's just making sure we do a good working capital management on that because otherwise, I'm using my debt to pay my AR. So part to that free cash flow goes through my improved EBITDA from gross margin. We're very tight, getting a lot of operating leverage from my OpEx and then improved working capital.
Jeff Garro: Excellent. I appreciate all that. Thanks for taking the questions.
Vinay Bassi: Thank you.
Chris Fowler: Thanks Jeff.
Operator: Thank you. The next question is coming from Stephanie Davis of Barclays. Please go ahead.
Stephanie Davis: Hey guys. Thanks for taking my question. Vinay, I hate to be like the fifth person to talk to you about guidance. But last quarter, you did talk to a measure approach to forecasting. The guidance still featured a big second half ramp. And now you cut and it features a less of a ramp of revenues. Do you still get a lot of that for EBITDA. Can you just help me get comfortable about what's driving both the top line and profit ramp in this guidance?
Vinay Bassi: Yes. Again, if you look at the guidance number, revenue-wise, if I just take midrange and adjust a discussion point, Stephanie, my second half revenue has to be $5 million higher than my first half. That's one.
Stephanie Davis: Well, it's a lot higher.
Vinay Bassi: Yes. But the growth here is because of the Q4, Q1 we are seeing. And like the deal, it is lower than what we were forecasting earlier. But coming to the revenue piece, what -- the reason why we reduced the guidance is, the timing of that now delay some of these bookings into more into the 2025 or late part of 2024. So that's why we have reduced the revenue guidance and it's more a measured approach there. On the EBITDA side, why we kept that is these cost savings, what I have given is not that it has not started. We have already executed -- started executing some of these savings and a good proportion will be done -- has already been done and will be done in the coming weeks. How you should look about -- look at the EBITDA ramp in the second half is think about it in my first half again using the midpoint from a first half to second half, the improvements will come from $4 million, $5 million from my cost saving by offshore the conference cost won't be there for that. And then the $5 million of in my example, will give me leverage our gross margin again of approximately 50%, 2.5 million. So based on that, I feel you should get confident at from a ramp, getting the $4 million, $5 million is coming from a cost savings I have the NCC costs, the conference cost is no longer there, and I do have the offshore, and then the gross margin pickup.
Stephanie Davis: All right. Understood. What we've thought just looking at 2Q guidance, the change would have more of an impact there. Is there anything to call out about why it wouldn't be as impactful for as one of your larger competitors in the rev cycle space?
Chris Fowler: I didn't miss -- I missed the first part. Did you say -- did you ask about change? Was that correct?
Stephanie Davis: Yes. Well, I thought it was a lot.
Chris Fowler: Yes. As we've talked about for us, we -- obviously, we use our own technology. We did have some of our transactions that went over the change pipelines. But we were able to adapt very quickly to that and the impact that we have seen coming from change is relatively minimal.
Stephanie Davis: Awesome. And then final one out of me. I did love hearing the partnership with Nuance, but I do want to acknowledge that in terms of cost, like a pretty premium product. I think it's $400 per doctor per month. Just given your client base, how are you thinking about that price point? And why would you choose nuance versus some of their lower-cost alternatives?
Chris Fowler: Well, it's a good question. First of all, we have several customers that are already using Nuance. So that was the first kind of proof point for us. I do think you bring a good question that we have to continue to create optionality for our customers and make sure that we have -- it's not a 1 size fits all. And while we are focused on the smaller end of the market, we have hospitals that are 5 beds. We have hospitals that are 75 beds and the needs and the demands may be a little bit different. So we'll continue to evaluate with the larger customer base, how Nuance fits in as a solution both from a functionality and from a pricing standpoint and see if there's additional opportunities for us to be able to bring other partners in.
Stephanie Davis: Super helpful. Thank you guys.
Chris Fowler: Thanks Stephanie.
Operator: Thank you. We're showing time for one last question today. Today's last question is coming from Sarah James of Cantor Fitzgerald. Please go ahead.
Sarah James: Thank you. So I just wanted to clarify if there's...
Vinay Bassi: Sorry, Sarah. Sarah, can you hear us? Operator, can you hear us?
Operator: Yes, I can hear you. Sarah, please make sure your phone did not go on to mute. Sarah, can you please respond? It seems like she is having some phone difficulties. We will now take our last question from George Hill of Deutsche Bank. Please go ahead.
George Hill: Hey guys. Thanks for taking the question. Chris, two quick ones for you, I guess, and Vinay, welcome to the call. First is I know that you guys didn't have a lot of direct exposure to the change hack, but I was wondering if it created incremental sales opportunities for you guys and what drove that? And then, Chris, you made an interesting comment in your prepared commentary around how the turnaround and the changes that you guys are trying to affect are difficult to achieve in the public view. I think we've all kind of observed the performance of the stock price. I'm going to ask a question that you probably can't answer too directly, but I guess can you talk about how the company thinks about optionality for creating shareholder value given all the changes that you guys are trying to enact and kind of the performance of the stock price over the last year or so? Thanks.
Chris Fowler: Yes, absolutely. Thanks, George. So first, on the change question, Yes. We have definitely seen some opportunity come out of that. We were able to very quickly stand up what we call a fast track conversion for hospitals, providers that we're looking for a clearing house that was able to kind of mitigate the cash flow challenge that they were facing. And so we did see a nice uptick in that. Obviously, we'll continue to monitor opportunities there as people are evaluating who they're using for their clearing house and be mindful of the situation and ready to take on new business as it comes. I do think that we'll continue to see opportunities over the next 12 months coming in from that from that. On the second, I'll answer it this way. Before we think about anything else, we've got to execute. We've got to continue to execute, and that's what we are maniacally focused on and making sure that we are doing the right things for the company to make sure that we are, one, hitting the numbers that we said we're going to hit, but also making sure that we're continuing to build and capture the opportunity that we believe is in this market, both in the EHR and from the RCM standpoint. So we're -- we continue to be optimistic about this year and the future. And again, for us, it's about -- let's continue to see the quarter stack out, let's continue to bear the fruit of the work that we've done on the transformation. And I do believe that the shareholder -- the value of the stock will be represented in that.
George Hill: Thanks for the comments.
Chris Fowler: Thanks, George.
Operator: Thank you. At this time, I'd like to turn it back to management for any closing comments.
Chris Fowler: Thanks, Donna, and thanks again for everybody for an early morning start to this Friday, and thanks for your continued interest in TruBridge. Have a wonderful weekend.